Operator: Good day ladies and gentlemen and thank you for standing by. Welcome to the TechPrecision Corporation fourth quarter and full-year fiscal 2013 earnings conference call. (Operator Instructions) I will now like to turn the conference over to Mr. Brett Maas. Please go ahead sir.
Brett Maas: Thank you. On the call with me today are Leonard Anthony, Chairman of the Board of Directors and Principal Executive Officer; Rich Fitzgerald, Chief Financial Officer; Bob Francis, President and General Manager TechPrecision's Ranor division. I would like to mention this call is being simulcast on the website at www.techprecision.com. Before we begin I would like to remind our listeners that management's remarks may contain forward-looking statements which are subject to risks and uncertainties, and management may make additional forward-looking statements in response to your questions. Therefore, the company claims the protection of the safe harbor for forward-looking statements as contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from those discussed today and therefore we refer you to a more detailed discussion of risk and uncertainties in the company's financial filings with the SEC. In addition, projections as to the company's future performance represents management's estimate of today, August 19, 2013. TechPrecision assumes no obligation to revise or update these forward-looking statements. With that out of the way, I would like to turn the call over Leonard Anthony, Chairman of the Board of Directors and Principal Executive Officer, to provide opening remarks. Mr. Anthony?
Leonard Anthony: Thanks Brett and good day to everyone and thank you for joining us. Obviously has been quite some time since we have had an investor update call and we appreciate your patience in that regard. To begin, I want to quickly address why our timing developed as it did. From beginning in mid-May it became clear that we would be in default of our debt covenants as of March 31, 2013. Accordingly, we went to work on developing a new business plan that would return us to profitability without any significant assumptions regarding revenue growth. We took that plan to our bank in June in pursuit of covenant waivers and modifications that could provide us with some assurances that the company would not have any further covenant issues for at least a year. We had very productive discussions with our bank and continued to do so. Unfortunately, by late July, however, it was clear that our goals would not be achieved in time for us to include any new arrangements within our 10-K which needed to be completed and filed by August 16. We are still on negotiations with our bank in regards to our credit facility and as such this item is still open. However, we did feel it was important to file our 10-K even with this open item, report our financial results for the full year and fourth quarter and conduct this conference call to update our shareholders and others on our strategic direction. On the call today we will follow an agenda that will include a strategic update, an update on our customer and operational progress. A brief overview of our Q4 full-year fiscal 2013 and Q1 2014 financial results, and an update on our business outlook. As I mentioned over the last 90 days, TechPrecision has been working its way through a very challenging time. However, we believe TechPrecision remains strategically well positioned with a wide array of precision machining expertise and competitive advantages in a variety of key verticals. As such we remain confident that we will return to profitability and solidify our foundation for future growth after addressing certain near-term challenges. This is my first opportunity to speak with shareholders and other interested parties since assuming the position of Principal Executive Officer. I will lead off the call by discussion what has transpired over the last 90 days or so. Since mid-May when Jim Molinaro resigned as CEO, I have been working with the management team and our board, and in particular one board who has a strong background in business turnaround. The purpose was to develop a new strategy for TechPrecision. Before reviewing that strategy however, I thought it might be helpful to just (inaudible) context. As you know over the past few years, the company has been pursuing several significant opportunities that could not only overcome the loss of Ranor's largest customer, who migrated its [forward] production from domestic source to Asia, but also provide the basis for significant future growth. As a reminder, this customer represented more than 60% of Ranor's historical revenue and a rapid shift of this customer's business to Asia was a key consideration in our decision to create a China subsidiary. In the interim however, we were faced with a loss of more than half of Ranor's historical revenue base. The TechPrecision team worked diligently to secure new revenue and replace that through the transition period. As a result, as I indicated, we started our China business and we took on a lot of prototype work at Ranor. Unfortunately, the result was a significant increase in costs that did not result in a corresponding or material increase in revenue during the past two years. The situation also served to highlight certain weaknesses in the Ranor operations previously masked by significant volume of repeat work. Bob Francis, who joined our Ranor's subsidiary as President and General Manager in early 2012, has been making significant progress at Ranor and he will have an opportunity to review what changes have been made to correct the situation, later in this call. The company anticipated that several of the opportunities it was pursuing, would have transitioned to full volume production by now. While this has not occurred in the timeframe we expected, we do remain confident the majority of the opportunities will ultimately translate into volume production. Towards that end we have refocused Ranor to significant opportunities in the three key business segments, their naval and maritime (inaudible) and precision industrial. We also put in place an organization that provides accountability for results for each of these business areas. Bob Francis will elaborate that in just a bit. But I will say that from an operational standpoint, we have made considerable progress over the past year or so. As I also indicated, we are pursuing production projects that can contribute to our near term revenues and augment the strong pipeline of medical and defense related business that we have recently generated. We expect these two sectors to experience accelerated growth in 2014 and beyond, and we are looking to key other verticals to help accelerate Ranor's return to profitability. As I indicated, we are focused on significantly improving near-term profitability as we transition to the longer term opportunities. As we have to redirect the company strategically towards to a return to profitability to organic growth, we have been executing a strategy to refocus on specific customers and markets, improve operational processes, and importantly, reduce and align costs with our current level of business. We have made numerous changes to control expenses to free up resources and increase our manufacturing efficiency. Additionally, we are making progress in getting the right people in the right role and aligning their compensation with profitability. In addition to the operational changes we have implemented, we (inaudible) force reduction of about 25 employees, about 14% of the total workforce. We have identified administrative cost reduction opportunities of about $1.5 million annually which should begin to be reflected in the second quarter of this year, the full impact seen by the third quarter. We have also implemented operational process changes to improve production throughput, quality, and control, solidifying the foundation that will support profitable growth in the future. We have realigned the organization to focus our activities principally at Ranor, and we have modified executive compensation to align it with long-term shareholder interest. We are continuing to [stress], reduce, and eliminate all of non-essential costs, and unfortunately as you know, the cost of being a public company is significant, and these costs have an enormous impact on the company's earnings given its relatively low revenue. As part of our strategy, we are also focused on expanding margins, however, with the goal of progressively achieving our targeted 30% gross margin. The goal of course is to stabilize our business first and return to profitability then within two quarters. Our most significant near-term challenge is getting the company refinanced in a way that fits its potential and cash flow profile. While we are in the early days of that process, we are optimistic that based on the collateral we have available versus the debt outstanding, and our outlook for return to profitability later this calendar year and that’s based principally on our cost reduction strategy that we should be successful within a few months. Before I turn the call over to Bob Francis to talk about our customer and operational progress and Ranor, I want to briefly touch on some organizational matters. After Jim Molinaro's departure, the Board of the company has taken on a much more active role with customers, operations, and administrative matters. Additionally, Bob Francis' role as President of Ranor was expanded to include all business development activities as well as other commercial activities, so he now has full control of his P&L. As you may know, Bob earned a B.S. in Engineering from the U.S. Military Academy at West Point and an M.S. in Business from Boston University. His previous P&L experience and success is very much aligned with the needs at Ranor. Additionally, Chris Poplaski, the President of our China subsidiary, also has been relocated to Ranor to work with Bob to accelerate the improvements in operational process that Bob has underway. Chris has done a very effective job in China ensuring that we delivered quality product to our customers on time, and his prior operational P&L experience in fabrication and machining environment will be very helpful at Ranor. With that, I will turn the call over to Bob.
Bob Francis: Thanks, Leon. I am pleased to join the call today. I would like to share some of the efforts from the past year and the progress we have made in improving Ranor's efficiency. I know there is more improvements to realize, but we have come a long way and have positioned Ranor to support significantly higher revenue levels at profit margins in line with our historical levels. When I joined the company, Ranor had issues with quality, on-time delivery, accountability, and tracking of machines and resources. As a result, the subsidiary was unable to adequately price its engineering efforts, particularly impacting (inaudible) production. Most of these inappropriately priced projects are now complete and we are finishing the remnants of this issue now. This should allow us to rebuild the profit margins, help us to build the margin profile Ranor has historically had. Just as importantly, we are focused on putting in place processes and systems to make the organization more efficient, increase accountability, and improve our quality and ability to track production. We have reworked our quotation process and continued to add more details to give our organization a better, bottoms up understanding approach to our assembly, welding, and machining process. We have trained our management team in lean manufacturing techniques and systems. And during the last week of August, our entire organization will complete additional lean manufacturing training. I would note that approximately 85% of our training programs, including training and lean manufacturing, are funded by state grants. We are also letting technology to help us improve output. One example is more automated welding process that will improve our [steam] welding speed by as much as 60% on certain jobs. And we are primarily modifying existing equipment and significantly minimizing (inaudible) capital expenditures. We have established specific metrics tied to these initiatives. For example, our goal for the year is to reduce rejections by 40%, and we are on track to meet this goal. Another 2013 goal is to reduce rework requests by 20%, and we are ahead of that schedule. Finally, we have a goal of 95% sustained on-time delivery, and we are making great progress towards achieving this goal. Another initiative is to install weighing machines throughout our factory that will help us securely and automatically track usages of tools and supplies so we can better manage with the uses of our resources and improve the utilization of these assets. This data will also help us with estimating our quotation activity in the future. In our navy and maritime sector, we continue to see substantial opportunities across several of our good defense customers. Most of these opportunities are fiscal year 2015 and beyond. In our nuclear sector, we are executing our nuclear transport cask business and expect this will also yield significant future opportunities. Before I complete my comments I want to provide a brief update in the status of our relationship with Mevion. As most of you know, TechPrecision has been involved with Mevion Systems for several years, helping to develop and secure approval for the innovative, low cost and smaller proton beam radiotherapy solution for treating tumors. Mevion received FDA's 510(k) clearance for its S250 proton beam radiotherapy system in June 2012, a significant milestone. The next major milestone is a turnover of their of their first system to the Siteman Cancer Center in Missouri. And we expect this to occur literally any day now. That will be followed by the treatment of the first patient and we are currently expect this to occur and we are treating one as a turnover again. Successful patient treatment is a critical milestone for continuing the production ramp and potential acceleration of this strategic project. While this project has faced delays, this is not uncommon for projects of this magnitude. I have been very close to Mevion since I joined TechPrecision, I can say with confidence that this is a when not an if. I know we have experienced delays which have impacted the initial production schedule, the overall scope or the opportunity remains significant. The timing has shifted and may continue to shift in the near-term but the size of the project has not been reduced. With that out of the way, I would like to turn the call over to Rich Fitzgerald for a more in depth discussion of the financials. Rich?
Richard Fitzgerald: Thank you, Bob. First, I will cover the operating results for Q4 fiscal 2013 and then I will cover the full year results. For the three months period ended March 31, 2013, revenue was $10 million compared with $6.1 million in the same fiscal quarter one year ago. As disclosed in previous communications, one of our customers requested a change in the scope of work regarding the large scale polysilicon [cambered] at Ranor. During Q3 that resulted in approximately $2.2 million of production activity and revenue shifting in through the fourth fiscal quarter of this year. Fortunately, our manufacturing capability was flexible enough to accommodate this customer change as well as deliver previously scheduled products for on time delivery during the Q4 quarter. Even excluding that $2.2 million shift, revenues would have been up approximately 27% year-over-year for the fourth quarter and were about 6% above our Q3 reported fiscal 2013 revenue in the fourth quarter. Gross profit for the quarter ended March 31, 2013 was approximately $1.6 million or 6.4% of sales compared to gross profit of $1800 or 0.03% of sales in the fiscal fourth quarter of last year. I will remind you that contract losses of $1.5 million incurred during the fourth quarter of last year on U.S. production adversely impacted the gross margin for that period. Gross margin in any reporting period is impacted by the mix of services we provide on project completed within that period. Accordingly, there can be variability due to the project mix when comparing period over period or year-over-year margin results. Turning to expenses. Selling, general and administrative expenses for the fourth quarter were $1.9 million, which compares with $2.8 million of SG&A incurred in the fourth quarter of fiscal 2012. SG&A costs for the quarter were $0.9 million lower due to lower compensation costs and reduced research and development cost versus the same period one year ago. Additionally, professional fees, office expenses and business travel costs were lower by a combined $0.1 million during the fourth quarter this year versus last year. Collectively these items drove an overall $0.9 million decrease in Q4 selling, general and administrative expenses when compared to last year. Net loss for the quarter ended March 31, 2013, was $1.1 million or $0.06 a share, basic and fully diluted. This is based on 19.1 million shares basic and fully diluted outstanding for the fourth quarter this year, and compares to a net loss of $1.3 million or $0.07 per share basic and fully diluted last year. Last year's per share metrics are based on $17.8 million basic and fully diluted weighted average shares outstanding. Moving on to the full year financial results. For the 12-months ended March 31, 2013, consolidated revenues decreased 2.4% to $32.5 million from prior year's reported revenues of $33.3 million. To break this up further, our WCMC subsidiary in China generated $3.3 million of revenue this year compared with $4.6 million of revenue contribution for the comparable 12-month period in 2012. Revenues for U.S. operations were $29.2 million this year compared with $28.7 million for fiscal 2012. Turning to gross margin. For the year ended March 31, 2013, gross margin was 20.2% or $6.6 million in gross profit, compared with gross profit margin of 15.3% or $5.1 million gross profit in fiscal 2012. Gross profit for the full year of fiscal 2013 was higher due to a blend of 15.5% gross margin reported in the quarter ended June 30, 2012. A 24% gross margin reported on our second quarter ended September 30, 2012, and a 25.8% gross margin reported in the quarter ended December 31, 2012. Selling, general and administrative expenses for the 12-months ended March 31, 2013 decreased to $8.2 million from a reported number of $8.4 million for the same 12-month period in prior year, reflecting a decrease of approximately $287,000 or 3.4% over the last year's reported SG&A level. The decrease in SG&A spending of $0.5 million is comprised of $0.5 million of compensation and benefits which were lower this year, and lower travel and business expenses. Also the absence of $0.3 million of expense related to the design and development of certain prototype production [chambers] for research and development purposes that were incurred in the prior year. These lower expenses were partially offset by a (inaudible) increase in outside services and advisory fee expenses during fiscal 2013 of approximately $0.6 million when compared to 2012. Net loss for the year ended March 31, 2013, was $2.4 million or $0.11 a share basic and fully diluted. This is based on 19 million shares basic and fully diluted outstanding for fiscal 2013 and it compares to a net loss of $2.1 million or $0.13 per share basic and fully diluted or $16.7 million basic and fully diluted weighted average shares outstanding for the fiscal year ending 2012. Now for a cash flow recap. TechPrecision reported positive operating cash flows of $1.7 million for the period ended March 31, 2013. So we had negative operating cash flows of $2.6 million for the same period ended March 31, 2012. During the year ended March 31, 2013, purchase of property and equipment was $0.7 million as compared to cash used in investing activities, property and equipment of $2.7 million in the prior year. During the year ended March 31, 2013, the company paid down a net $0.9 million of debt while in the prior year the company borrowed a net $0.6 million of under debt facilities in the year 2012, predominantly to complete the $4.1 million expansion at Ranor in prior year. The company's revolving credit facility which had $0.5 million outstanding on it as of March 31, 2013, was paid in full during the month of July and on July 31, 2012, the revolver expired without being renewed. As of March 31, 2013, TechPrecision had positive working capital of $3.1 million after reclassifying all the company's $5.8 million in debt obligations as current liability. This compares with working capital of $10.2 million at March 31, 2012. As of March 31, 2013, the company had $3.1 million in cash and cash equivalents and this compares with $2.8 million in cash and cash equivalents as of March 31, 2012. You will find additional details in our filings submitted to the SEC. With that brief financial recap, I would like to turn the call back over to Len for some additional remarks. Len?
Leonard Anthony: Thank you, Rich. I wanted to conclude our prepared remarks with just a bit more information about our business outlook. As we had indicated in certain of our recent filings, the company plans to report its first quarter fiscal 2014 results in the relative near future. When we report, we would expect to be reporting revenues of about $7 million for the quarter and a net loss of about $0.8 million. As we look forward to the balance of the year, we are going to be focused on building our backlog with production orders from our key customers and we are now starting to see signs of some progress. While at March 31, 2013, our backlog was $16.4 million, it's now up to $19.2 million, and the mix of customers is much more diversified than at any time during the company's recent history. Finally, before moving to Q&A, I would also like to acknowledge that the past couple of years have been very difficult for us, and most certainly for our long-term shareholders. But I do feel that based on the actions we have now taken to focus our business and resources, our ongoing efforts to align costs with current revenue and our strong and experienced management team, that we are better positioned than ever to succeed. On behalf of our dedicated staff members, management and board, thank you for the patience and now I will open the call up for Q&A.
Operator: (Operator Instructions) And our first question comes from the line of Walter Schenker with MAZ Partners. Please go ahead.
Walter Schenker - MAZ Partners: I am still trying to, Bob (inaudible) there maybe questions being addressed to Bob, I apologize for the background noise, I am in an airport, been there for a year and half and much of what is being said sounds familiar related to when you got there a year and a half, we have been hearing the 30% target for years. I am just trying to understand why this time is different since I thought we had already repriced a number of projects and weren’t taking on business and just weren’t doing business if we are going to lose money at it?
Leonard Anthony: Well, I will start with a response to that and maybe Bob can fill in some blanks. Frankly, I am not sure where and when the company was saying that it would be achieving a 30% gross margin target, and I really don’t want to go back in time and speak to that, but what I would say is that, from my perspective, when we see the order activity now and what's being booked, we have put in place some new processes, frankly, whereby the booking of orders actually requires a review by certain executives, including myself and another Board member to ensure that we are booking at the right margins. From my perspective, given my short duration in the role and observing what's going on, I am more confident than ever that we will be moving towards that. I have not put out and wouldn’t be suggesting exactly when we are going to get there. I think it's also somewhat dependent, frankly, on the volume that we can put through the facility, and right now based on the backlog and the numbers we have been talking about, we have a lower volume left, and it's ideal for that facility's cost structure. And Bob, is there anything you would like to add to that?
Bob Francis: No, I would just reiterate the work we have done to our quotation process and trying to better align, in particular our assembly, our welding, and our machining estimates to any future project. And as you said Len, I have got great confidence that we have made good strides in there, and just a little bit of a history, very briefly, we had several very large projects that concluded over the course of the past, really eight months to 12 months that were really a very negative drain on us. So I think getting those out of the way and again continuing forward with improved processes will get us there.
Operator: Thank you. Our next question comes from the line of [Steven Lichtin] a private investor. Please go ahead.
Unidentified Participant: Yes, can you provide an updated status on WCMC and is that still a viable entity or is it going to be disbanded or what's the status there?
Leonard Anthony: Well, the current status is that we are considering a significant order from the customer who we followed into that region. And should we be successful in booking that order with prices, terms and conditions, and appropriate deposits that meet our need, we would continue to operate WCMC for the foreseeable future. However, I would also point out that WCMC going forward, even to the extent that it operates, it would be part of the Ranor division. And my view is that it would be used as principally an outsource location for Ranor. In fact the strategy that we are trying to accelerate more broadly at Ranor, and that is sourcing certain pieces apart from low cost countries, and China may serve a valuable purpose in that regard. In terms of the long-term operation, I would say it's highly dependent on our success here in the very near future with one key customer.
Unidentified Participant: Okay. And what happens if the debt is called in by the bank. What happens to the company then? What's the course of action?
Leonard Anthony: I don’t want to speculate on either point, one whether the bank would call the debt or what we would do in response to that.
Unidentified Participant: Okay.
Leonard Anthony: I would point out though, it would require 60 days written notice from the bank before any acceleration could take effect. And it certainly wouldn’t be in their interest given that we have paid down roughly $1.4 million of the debt in the last 12 months even while we were reporting financial performance that’s below our targeted performance metric.
Unidentified Participant: Okay. Could that lead to a bankruptcy filing if that happened?
Leonard Anthony: Only if we were unable to refinance. I think the collateral we have available to us, including the restricted cash we have on deposits with Sovereign Bank of some $840,000, is certainly available to us to facilitate any refinancing initiative that we might engage in on our own or alternatively if we are compelled to do so by the bank upon 60 days written notice. The bank has not given us any notice of acceleration nor any indication that they would be [trigger happy] (ph) in that regard. So....
Richard Fitzgerald: And I will extend that a bit further, we are confident at this point that there will be an arrangement with our existing bank that provides adequate time and flexibility to do what we need to do, and that is put in place an appropriate financing for this company's revenue and cash flow profile, one that works going forward. As you might have noticed, the company repeatedly had covenant violations over the last couple of years. We were constantly back trying to deal with the bank, and the result of that not only it's been the negotiations with the bank, but then delayed quarterly filings and increased costs in terms of our legal and external audits folks. So from my perspective, this company needed and continues to need to get in place the financing that meets its profile and that includes some irregular cash flows, irregular timing, and to some extent the lack of predictability. We are not making widgets here and so it's a bit different sort of business. And to have very tight cash flow covenants on a company like this and then go through that process which drives up cost was just not the right place for the company.
Leonard Anthony: The other thing I would point out and you could certainly discern this from reviewing our 10-K filing, when we put the [theory day] in B bond on the book in order to finance the Ranor expansion, we basically doubled the debt amortization, and we doubled the debt service for the period January 1, 2011, through March 1, 2013. And on March 1, 2013, you could see this in our 10-K, we paid off the 2006 term note with the bank that had an annual principal amortization of some $571,000 a year. So, at this point in time, we have actually reduced our debt service by 42% versus the March 31, 2013 debt service that we are compelled to measure for debt covenant purposes. So, as we sit here today, we have delevered to a good bit and the bonds are fungible. Another bank, if they were refinancing us, could purchase those bonds and they are much more transportable than the term loan which was specific to our current bank that we paid off on March 1. So we think there is certainly plenty of collateral and plenty of debt service as we return Ranor to its targeted margins and profitability level.
Unidentified Participant: Okay. Thank you. And regarding GTAT, I believe you may have answered this question, but is the company still getting revenues from GTAT and is there any hope of future revenues if GTAT were to recover in their market?
Leonard Anthony: That’s the customer that I was referring to when I spoke about China.
Unidentified Participant: Okay. Got it. And did the company -- as you mentioned, the company has gone through some hardship over the past two years, could you explain the oversight by the Board of Directors during this time period. What they have been doing, seeing, acting on during this period?
Leonard Anthony: Well, first of all, I would start off by saying all board deliberations are confidential. We realize the board works for the shareholders but I think also as you know the board's chief responsibility is the hiring, and if necessary, the departure of CEOs. Over the past couple of years as we talked the company going into that period lost some key customers and the board's focus was on getting in place a CEO with the capability to develop lots of new market opportunity, which was the case. And as we said today again, we made great progressing in developing those opportunities. Unfortunately, the timing of those was not as maybe needed for the company or as anticipated. So the board's continued action here is to say, okay, given what's gone on and given the lack of performance, now the board is much more engaged in day to day activities as I described in my prepared remarks. And we will continue to be more engaged in those activities until such time as we have determined that the company has stabilized and headed on the path to achieving the margins we expected to achieve. And I would say that given the strength of the various board members and the roles they are playing, that today we have probably a stronger executive leadership approach to the company than ever in its history. And as I said, that will continue until such time as we deem the company has stabilized and ready to move forward.
Unidentified Participant: And, Leonard, this question is directed to you. Are you the right person to lead this company, if you can explain why, and why not go out and hire and outside independent CEO?
Leonard Anthony: I will start with the latter part of the question. Why -- to go out and hire a new CEO, of course there is search fees involved. There is risk that you end you hiring a person who is not familiar with the company, really, or not capable of doing what the company is built. If you look around, hiring CEOs is not like a sure fire process. You know you go out and bring somebody and this automatically works. And as I said, there are significant costs involved. Whether or not I am the right person to run the company long term or not, I can't answer, but I would say that in the short run I believe I am clearly the right person to have more involvement in the day to day activities. I have worked through challenging situations previously in my career, three or four times, where I was in a senior leadership position including CEO, where there was a turnaround that needed to be executed. And if you look at my history at WCI Steel, it was a company that was losing money and within nine months I had it cash flow positive, I had it making money. And it just so happen a suitor came and bought the company within nine months of my taking over as CEO. I am not suggesting that would be the case here but I am suggesting that based on my prior experience and the results, that I would expect that I can be helpful in this situation. And more helpful than maybe someone you could bring in from the outside and certainly much lower cost.
Unidentified Participant: Okay. That’s fair. And finally, given the announcement today, I would say there is some encouragement going on. I think the stock price has reflected that. This is more of a statement, but it would be nice as they [show] of the part, if the board of directors came out and purchased some shares in TechPrecision. Not so much in giving stock grants but an outright purchase. I think that would send a strong message to the investment community that you feel a rebound is occurring with TechPrecision. That’s not necessary but just a strong statement. And that’s end my questions. Thank you.
Operator: Thank you. Our next question comes from Ross Taylor with Somerset Capital. Please go ahead.
Ross Taylor - Somerset Capital: First, gentlemen, thanks for having the call and allowing us to get on to it to ask questions. I would second the thought of buying stock. You are really, quite honestly, the stock isn’t the stock anymore it's an option or effective -- as long as you keep the business above water, it will never expire. So it's hard to justify not buying stock when it's as these prices. I want to get into the cost cutting aspect and what that does if the top line, if we kind of see a flat line top line over the next 12-months? I missed some of that, this going on, so do we need to see a growth in the top line to generate positive numbers with what you are planning on doing?
Leonard Anthony: No.
Ross Taylor - Somerset Capital: Yeah, that’s what I thought you would say. Secondarily, it seems to me that one of the real issues, the only real financial issue you have is that you have the Massachusetts bonds are effectively linked to your other debt. Ex the, what I call the IRBs and whatever -- which aren’t actually IRBs -- but you have very little debt outstanding. Have you explored non-traditional sources of financing?
Leonard Anthony: We have considered some very recently. I would say the whole question of what the right capital structure for this company, kind of is being evaluated as we speak and we are going to consider a variety of options. I don’t think this is a matter of just simply going out and kind of redoing what we had, because as I described, it really didn’t work for the company.
Ross Taylor - Somerset Capital: We would agree.
Leonard Anthony: So in our view it was kind of -- again, I would repeat, if you look at the history, it was just a disaster. Every quarter you need covenant waivers and it drove the costs ever higher.
Ross Taylor - Somerset Capital: Well, it seems like -- you have a background in this and I would agree that it seems you are the right man to do the job at this point. That being said, we have also spoken to a number of people. This is a very attractive property. I think a number of other corporations in your space would be eager to own the assets at TechPrecision, particularly with the outlook it has. Have you been approached or are you looking to approach third party -- outside companies with the idea of selling the business if you are not able to achieve a timely resolution of these issues. Particularly with the bank.
Leonard Anthony: Well, I guess first of all, we are pretty confident we are going to resolve the financing issues. So take that off the table. And I would say, as we have looked, I look at the share price performance and the company performance, I feel that -- to be blunt, there is low hanging fruit on the cost side and we are going after it. We are taking it and take the cost out and try to push the revenues a bit higher with our key customers in key verticals. And should we be successful in doing so, I would expect that the company value would be materially higher than it might be today. It's a question of strategic alternatives, as one we will consider if somebody comes to the door and wants to make a proposal. Obviously, there will be listing but I would say we are probably all in agreement, everyone is following including the management team here, that currently this company is undervalued for its potential. The problem is going to be to clear the fog in terms of its operating performance before we think about any of those things.
Ross Taylor - Somerset Capital: Yeah. We would agree. The market has clearly been saying lately that you are not only going broke but that you are not going to see much recovery. As a shareholder, it seems to us that to have that happen, you need to replace the management team with the three [stooges], which could be done. So we would argue that, if you get to where you can't refinance it, obviously the assets are worth a tremendous amount of money and that would certainly a far more attractive course of action than playing chicken with the banks at some point.
Leonard Anthony: Yeah. I am not sure if I kind of take your point, I am playing chicken with the bank, but you know I will reflect on that over the next couple of days.
Operator: Thank you. Our next question comes from the line of Robert Balopole with Balopole Investment Management. Please go ahead.
Robert Balopole - Balopole Investment Management: I am a little confused about the collateral deposits and how they relate to the specific debt. I think you told a caller earlier, you had $840,000 collateral deposit with Sovereign Bank. And I am looking at your balance sheet and I am seeing these two notes that total about $641,000. So I am just wondering, what's the difference.
Richard Fitzgerald: Yeah. Just to clarify that. We had two collateral enhancements or restricted cash deposits with Sovereign. One of them was a loan to value [cure] on the [theory day] bond, where when the property was assessed after we had significantly enhanced it with our expansion, the valuation didn’t necessarily support it. And we can only borrow 75% of its appraised value, and we were slightly over that. So at that time we put a loan to value deposit with the bank and continued to amortize the debt balance. So that deposit actually comes back to us at about $18,000 a month as we service the [theory day] bond and pay it down. So that’s the loan to value -- I am sorry?
Robert Balopole - Balopole Investment Management: That was about $400,000 you had to deposit?
Richard Fitzgerald: Yeah, when it started at the end of March, it's more like $180,000, it's the balance. And then we have an additional deposit with the bank that was really brought into the play with the 11th amendment last July, July 2012. And we put that in to give the bank comfort in relaxing the debt convents and letting us for a rebuild the margin within the business. That $840,000 is still on deposit with the bank and one of the things we will be looking at is leveraging that asset in any refinancing we would pursue. So we have got about $840,000 in the one balance, as a collateral balance. And then another $180,000 on the other. And again, that $180,000 amortizes, that $18,000 a month back to us. So by the end of -- by March of next year, that one's gone. So loan to value--
Robert Balopole - Balopole Investment Management: So with respect to the notes, does the collateral deposit exceed the amount owned?
Richard Fitzgerald: No, it does not. No. We have got about $5.8 million of debt outstanding and we have got about $1 million round numbers of collateral deposits or restricted cash with the bank.
Robert Balopole - Balopole Investment Management: But I was just referring to the notes as opposed to the two bonds. I thought that there was $840,000 just securing the two notes which is at March 31, I am talking about the capital expenditure note and the staged advance note.
Richard Fitzgerald: Oh, I am sorry. Yeah, those two pieces of financing were in place before the bonds were put in place in December of 2010, and they are amortizing down. So it's a staged advance note and a CapEx note. That’s for equipment that was purchased before the bond came into play.
Robert Balopole - Balopole Investment Management: I see. And also--
Richard Fitzgerald: Five year amortization on that when it came on the book.
Robert Balopole - Balopole Investment Management: Okay. Thank you. Looking at your costs incurred on uncompleted contracts, it's about $4.3 million. Is it necessary for you guys to carry so many costs to get these [up] or do you think you can get your customers to pay more as they go in the future.
Leonard Anthony: Well, I think I will let Bob talk about this because he is managing it day to day. A general rule of thumb is that we usually get deferred revenue when we purchase materials on behalf of customers. We usually, if the project is long enough, we will get a milestone payment and then upon delivery and passing all of the acceptance criteria, we will then ship up the AR. So at any point in time, this balance is what we have got in invested in the project in between billing milestones and net of the deferred revenue or advanced payments they have made to us.
Operator: Thank you. Our next question comes from Michael Potter with Monarch Capital. Please go ahead.
Michael Potter - Monarch Capital: Just a couple of quick questions. I wanted to -- if you could back us into adjusted EBITDA for the fourth quarter and for the year, trying to see what was cash and what was the cash burn for the quarter?
Richard Fitzgerald: Sure. Sure. If we were to look at the EBITDA for the fourth quarter, it will be about $91,000 loss versus the $311,000 or $312,000 loss we have reported from operations for that period. And we are adding back depreciation and amortization of about $221,000. And then if we will look at that on a full year basis, we have got loss from operations of $1.6 million reported. And if we were to add back depreciation and amortization of about $846,000, we would get to an EBITDA, which in this case would still be a loss some $756,000. But basically the non-cash items for depreciation and amortization are $846,000 for the full year and $221,000 for the fourth quarter by itself.
Michael Potter - Monarch Capital: And what was the stock compensation and was there any other onetime expenses or non-cash expenses in the fourth quarter and for the year.
Richard Fitzgerald: Yeah. On a share based comp basis, the add back for the year was $337,000 on shared based comp. And in the fourth quarter we actually had income adjustment for share-based comp and that had to do with the forfeiture of Jim Molinaro's stock options in May. You actually get to go back and unwind the unvested piece from the stock comp if the year has not been -- so it's $112,000 income in the fourth quarter for share-based comp.
Michael Potter - Monarch Capital: Were there any other one timers severance expense in the quarter?
Richard Fitzgerald: Yeah. In the fourth quarter we had some write-offs for China on the solar inventory we had been carrying. And it has become clear we weren’t going to receive solar furnace orders any time soon. So we rolled off about $71,000 in China for that. And then we had a small receivable balance of about $23,000 in China with a private Chinese company, and we took a hit for that. So it was about $100,000 write-off for China related in the fourth quarter.
Michael Potter - Monarch Capital: Okay. And then, if you can give us a little indication on Q1, we are going to have about an $800,000 loss on $7 million in revenue.
Leonard Anthony: That’s correct.
Michael Potter - Monarch Capital: Is it correct?
Leonard Anthony: That’s...
Michael Potter - Monarch Capital: Ballpark, what does that look like on a cash basis? I am assuming that we are going to have a lot of onetime charges in that number associated with some of the rightsizing of the company operationally?
Richard Fitzgerald: Yeah. And we will report the full quarter when we file the 10-K shortly after this call.
Michael Potter - Monarch Capital: Okay. On that, what is the timing of the Q? Do you guys that it will be filed before the Labor Day holiday?
Richard Fitzgerald: That is a reasonable expectation. Again, it depends on availability and getting everyone through this, that needs to go through it before we file. We will go as quickly as we possibly can.
Leonard Anthony: Yeah, we are most interested in getting it done because of the related, really, the cost associated with some of these activities is significant and as soon as we can get it done and move on, the better off we are going to be and the closer we will be to achieving our cost reduction plans going forward.
Operator: Thank you. Our next question comes from Anthony Polak with Aegis. Please go ahead.
Anthony Polak - Aegis Capital: The backlog, does that consist of anything from Mevion?
Richard Fitzgerald: Yes, we do have Mevion backlog at the end of March. And it's not as high as it could be once they have the achieved patient treatment and we and they ramp up the full production expectations under the long-term supply agreement we entered with them earlier this year.
Anthony Polak - Aegis Capital: And when we....
Richard Fitzgerald: There is a seven figure number in there, but it's a low seven figure number, Tony.
Anthony Polak - Aegis Capital: When would you expect them to start real production of the product?
Leonard Anthony: I think Bob closed this dialog with Mevion, so maybe he could give you some color on that?
Bob Francis: Yeah, as I indicated during the initial part of the call, we are very literally expecting the first hospital turnover to take place any day. And according to their COO, who I speak with regularly, they expect patient treatment to be within two to three months of their turnover. Once that had been [done] the patient treatment, we expect that they are going to get on a much more aggressive schedule of production. So I would say, we are probably looking at the Novemberish time period before we start seeing that.
Anthony Polak - Aegis Capital: Is this whole patient testing or as you call it, is that expected to be one a day or is expected to start to doing volume right away?
Bob Francis: I am sorry, you are talking about the actual treatment of the patient?
Anthony Polak - Aegis Capital: Yes, it's (inaudible)?
Bob Francis: I don’t know what their rate is for treatment, whether it would be multiple a day or just one a day, I really don’t know. I would have to find out about that.
Leonard Anthony: Yes. Tony, it would depend on the type of patients they chose to treat, first time through. My guess is that’s going to be a head or neck cancer or maybe prostate cancer, because that’s very well characterized. Both the treatment regimen and how quickly the tumor would respond with shrinkage in those indications. So our expectations are, one, they will chose patients who are likely getting turned away from the (inaudible) operating proton beam centers a day. So the recruitment is pretty easy but they will also want to pick a patient that’s well characterized and they can see the desired downstream effect. In a brain tumor, it's my understanding, you can see that downstream effect in seven to eight days. So it will be pretty quick. But the treatment regimens, they vary by type of cancer and each individual patient has a tailored treatment.
Anthony Polak - Aegis Capital: Okay.
Leonard Anthony: Just to clarify one other thing. Look, in terms of our plan for this year, we pretty much assume that there is no or very little Mevion coming through as a planning [base]. I view it as big upside potential. We don’t know when it's going to happen, but just so you understand and all listeners to understand. We are not trying to run the basis on the basis that we may get an acceleration of Mevion orders.
Anthony Polak - Aegis Capital: Could you explain the income tax expense for the quarter? Why it's so high?
Richard Fitzgerald: Sure, Tony. It really has to do with the tax accounting. And during the fourth quarter we traced into a [plinking] time where we had a three-year cumulative loss. And within the accounting literature, that's sort of a bright line. And it requires you to go record a valuation allowance on your net deferred tax assets unless you have some very compelling favorable evidence that that would be contrary for your cumulative loss. So we really hit that sort of bright line threshold and we basically have put up a valuation allowance. Now that said, when the company would begin to be profitable, some of that valuation allowance could be released and you would see the inverse impact. But for now we have put up a full valuation allowance on our deferred tax assets and that all transpired in the fourth quarter.
Operator: Thank you. Our next question comes from [Lans Compello with Nataxis] Please go ahead.
Unidentified Analyst: On your solar LED furnace, what lead times are you reporting there and what's your current capacity?
Leonard Anthony: I guess this relates specifically to China and GTAT. Number one, our current backlog is zero. We have, again, orders in discussion that we could begin to produce immediately, should the customer and we reach agreement in terms and condition. And in terms of our capacity, I guess I would say that we could meet the customers' needs and then some.
Richard Fitzgerald: And if you were to go back and look at GTAT's earnings call on August 5, I think I heard (inaudible) as their CEO on more than one occasion, indicate that they might be capacity bound in order to deliver their [Sapphire] order demand, in the sort of fourth quarter for them which is October, November, December. So again, we don’t have any backlog with GTAT but we obviously monitor the ebbs and flow of their demand and their market dynamic.
Unidentified Analyst: Right. But it sounds like if that was the case then you guys would be okay in terms of your own capacity that you will need to hire, any new employees or any new equipment.
Leonard Anthony: No, in fact very recently GTAT has approved a second WCMC facility for production and so we have, again, more than enough capacity to meet their needs. But frankly, from a strategic perspective, the company, we went over their -- following GTAT with certain expectations in terms of order volumes that never materialized and as a result we are sitting here without production volume up. Going forward for us to continue to participate with GTAT we need to get full production orders of substantial size with reasonable prices in terms for us to continue to do that, and we can meet their needs for any volume requirements that they have put in front of us.
Operator: Your next question comes from the line of [Eric Weinstein with Sampler Capital] Please go ahead.
Unidentified Analyst: I think if you could give us a little more color on the tax profitability by year-end that would be helpful in terms of getting us comfortable. Then you can do something that looks a little bit more like a traditional refinancing than a non-traditional one. So if you look at the fourth quarter, gross margins looks like they were similar in the mid-teens, there were a lot of contract losses. If you had those back, your margins would have looked something similar to your target. So if you could talk a little bit to where we are in terms of when that work change orders or prototypes or the first order close making their way into the system that are sort of loss leaders, that would be helpful. And then with respect to the first quarter, we don’t know if the Q is to be filed in four days, 14 days, 40 days, and you are going to have to have another call. If the numbers aren’t -- your (inaudible) net loss is $800,000. If you can give us some sense of what the gross margins are for that quarter, maybe it's worth to handle, maybe they are just better than what they were in the fourth quarter. That would be helpful in terms of helping us understand their trajectory of gross margins even with their run rate revenue number similar to what it was to say last year. And then we can obviously work in the operating cost [reductions] as well.
Leonard Anthony: Yeah. (Inaudible). But let us start the answer by going to Bob Francis to just talk about where he is in terms of clearing out the backlog of these old low margin projects.
Bob Francis: Yeah, as I indicated earlier, we had a couple of very large projects that over the past 8 to 12 months have actually cleared out with the most recent one shipping in April. And we do have a couple of first items going through in our defense right now for some program basis, that we are working through right now. And beyond that there is really, and everything that we have on contractors, I would consider more production based. More volume, and we need to get more of that, type of work and also try to get things that are more highly volume, which our sales team is focused on right now.
Leonard Anthony: So in terms of where we are quoting now in the backlog that’s building, I would say that the margins are moving towards the target. I am not prepared to disclose preliminary margins for 1Q as of yet. I take the point, we don’t know when that Q is going to be filed. Rich earlier indicated that he expected it by Labor Day. Unfortunately the timing of that and the ability to discuss that is somewhat under our auditor's control. Again, they need to go their review process and frankly, my perspective in dealing with them to date has been one off, it's very tough to get any commitment from them and that puts the company in a bad position. So that’s kind of where we are in terms of the quarter. It would be difficult for me to tell you how much it's improved until we are getting closer to filing that Q targeted again before Labor Day. And I think at that time we will be able to talk more about the rest of the year in terms of what the specific ramps on margin might be. In terms of the administrative cost reductions, several of those actions have already been taken in terms of the people reduction that’s already occurred, in terms of some of the other reductions they will phase in beginning or started, and as we indicated before, by the third quarter they would all be taking effect. And to be blunt, we are not done. I mean we have put out the numbers and that’s kind of phase one and there may be more than that in terms of cost reduction activity.
Unidentified Analyst: Can we talk a little more about (inaudible) effort, you are switching out of, in terms of cost reduction. Can you talk about how much of that is hidden operations versus corporate? Because on the corporate side it seemed quite bloated for a company of your size specifically with respect to professional fees. And I understand that probably continued through the first quarter but moving forward, just taking that, it's not a concept of the business. I think we want to get comfortable that it's not hitting operations as far as it looks on the surface.
Leonard Anthony: I will let Rich talk about some specific numbers in a minute. But the overall strategy here was to preserve the good market opportunities and in fact enhance our relationship with certain customers. So when we thought about cost reductions, we look hard at where we could go without any impact to the business. Out of the people reduction there, a large number of the total 25 came out of Ranor. But that was done, was Bob's overview guidance etcetera, and inputs from certain board members as they looked at how they could improve process flow at the facility without impacting anything, but in fact, from our perspective, improving throughput and improving quality going forward. So I don’t think any of these actions that we are taking, hamper the operations. I will let Bob speak to that in a minute. And in terms of the admin cost, you are right. As I mentioned during my prepared remarks, $30 in revenue and absorbing the cost, I don’t care how you manage those costs, the costs are significant, really to being public. And then we layer on top of that, in this company's case, the issues we have had and we have had a work through that required the use of outside advisor. KPMG as audit firm and or legal advisor as well. Those were very significant. And they need to be addressed going forward.
Richard Fitzgerald: One of the reasons we wanted to get away from these cash based debt covenants or get them sort of modified, Eric, was so that we could manage them when we get into these situations where the debt covenants aren’t met or they are close to being not met, we run into the situation where both the bank and the audit firm are essentially deep due diligence on our forecast. And really that’s not a productive use of outside party trying to [scrub] the forecast. So that’s one of the things that drove our cost. I think that in prior 10-Qs, we disclosed that we had a significant amount of head hunting fees or search firm fees in the fiscal 2013 numbers. That’s certainly something that we are going to be very judicious about incurring those costs. And certainly a lot of travel ,we have curtailed the amount of expats we have over in China, given the volume there. And we have also rationalized our business development travel to be very focused and very disciplined on an ROI basis.
Operator: Thank you. Our next question comes from the line of [Mark Donas] a private investor. Please go ahead.
Unidentified Participant: Most of my question have been answered. Looking at the Mevion contract, just wanted to get a little bit of clarifications to ensure that the contract is very tight and that there are no provisions that would enable Mevion to move to another manufacturer. And if you could maybe walk through a little bit in terms of what that would entail with it being possible.
Leonard Anthony: Again, I would like to start with Bob, he described the Mevion relationship and how close that is and in fact what equipment they have inside or facilities today which would suggest they are significant (inaudible) carrier. So go ahead Bob.
Bob Francis: Sure. Yeah, on that point in particular, we have, as stated earlier, evolved this relationship over the past six years with Mevion and the structure that we provide for them is very significant. Beyond just the parts and the development that we have gone on, that we have worked with them on, as Len indicates, they have two test structures and so these are extremely again significant. And they do their testing of the main gantry system as well as their [SIG]. Their [inter gantry] system is right on our premises. So extremely close relationship there. As you are probably aware, they are right on the road in lot of the [markets]. And so between both development of the products and the development of the process for testing and in fact that the testing in Ranor facility, them go to another manufacturer, well, it's never out of the question, would be a very difficult thing for them to do. Even beyond the LTA I think that’s more significant in our long-term relationship with them. And I have a, as I indicated, a very close relationship with their COO, speak with them all the time and I think they are extremely pleased with our performance over the past several years.
Unidentified Participant: Great. And the only other question I had was with regard to the Q1 guidance that you provided. Just wondering if any kind of severance and/or restructuring costs are baked in there. What kind of impact that might have on the balance sheet for the quarter?
Richard Fitzgerald: Again, once we can give a full and complete set of disclosures embodied in that 10-Q, we will cover that as we are required to in some detail, Mark. But until we are ready to file that and we have got all the requisite parties through it, both internally, our board, attorneys, audit firm etcetera, we have kind of kept it at a very high level.
Leonard Anthony: Having said that, we wanted to get in investors' hands our general sense of what the numbers are going to be at this time. We didn’t want to wait until it was filed.
Unidentified Participant: Well, great. Well, for one have great appreciation for the work you have done so for. Great progress and hopefully you keep it going and hopefully we have positive results from it.
Operator: Thank you. Our next question comes from [Eric Lungen with Millennium Securities] Please go ahead.
Unidentified Participant: Most of the issues outstanding have been noted on this call here today. But I just want to touch base on one that it seems like it hasn’t. We have gone through management change recently and obviously prior to that change there were some investor presentations that were distributed and within those some very projections, within the multiple verticals that you serve. We have talked just recently pretty extensively about where we are at with Mevion, it seems like a fairly positive place. I know it sounds like you are ongoing negotiations with GT which was a business that’s wound down quite a bit. But can you speak to the efforts that the current management has gone to in defense and nuclear and industrial and maybe give us a little bit of color, and hopefully it's not premature to ask this question, where you stand now versus where you stood prior to management change and you know the faith you have in the prior projections that were made. Speak to that.
Leonard Anthony: Bob, are you going to try to take some of that?
Bob Francis: Sure. As far as....
Leonard Anthony: It sounds like we are getting some background noise. I don’t know what's going on there. If you could Bob, just give me a second, because what I would like to talk to briefly and then I will turn it back to you, because building the bridge from the past to the future is not all that easy for me. But when we kind of made the change, the change occurred in terms of the CEO and we worked to develop a new plan and we tried to come back to, what is that the company is really good at and what can we do -- what customers can, or what customers benefit from what we can do. And take kind of a look at that and we determined that we needed kind of a reclassifier thinking into the three segments I laid out. And as part of that process then we went and evaluated the size of those specific markets with each one of those customers try to assess the probability and the repeatability of some of that business. And we have kind of put together in our heads something that looks like $100 million to $130 million of potential recurring revenue out of these key customers in those key vertical. And that’s from my perspective where the focus of the company has to go. So while there may have been other discussion in the past about oil and gas customers, that my judgment and the judgment of other board members involved in building this new plan was, look, we cannot be everything to everyone and we can't chase every order or every potential order around the country. This has to be a very focused business where we have customers who really appreciate the quality and service we can bring to them. And so we have kind of got that all mapped out. As we go forward, I would say in terms of the bridge back, there are very few things in the mix of what was discussed before that aren’t still opportunities for the company. I just laid out one for you that we took off the table and that is, pursuing opportunities in the oil and gas markets, as an example. And there were a few others that have been taken off, but generally speaking what was there before is still there before. However, what we are trying to do again, is find a way to get Ranor in a better operating posture with the customers we have. And what I mean by that is to get more throughput through the facility which we will have, from my perspective, a significant effect on margins and results. We have been operating at very low levels, we have been operating at very unique projects that take a lot of time, a lot of energy, and as you have seen in the financials, they did not result in very good performance and we are trying to change that model.
Unidentified Participant: And I apologize if I missed it, if you have laid out three primary areas, can you reiterate those for me?
Leonard Anthony: Sure. The first one is what we call navy and maritime. In the past that has been called defense. We have tried to blow it up and say we might use this or that or the other thing. From my perspective and, again, the perspective of certain board members, we are just focused simply on navy maritime. And you could pretty much get through those customers. Then we have got the nuclear segment. As you recall, this company does have an N stamp. You know as we talk to the management team and talk to customers, that’s something that’s highly valued. It's an indicator of our quality capabilities and something we need to market. And as a result, our view was we really need to pursue more activity in the nuclear area. And you know we have been building these nuclear casks and we see that as a great market opportunity for us going forward. We will continue to do it. And then we have this precision industrial segment, which is a little bit of a catch but it's where Mevion sits, it's where GTAT sits. And we will continue to do that. So Bob, I don’t know if you want to add anything in terms of building the bridge from the prior market view to where we are today? If you do please speak up.
Bob Francis: Well, I would just add a few more specifics. In the navy/maritime area again, I think it's very important for us to be focused there and not the broader defense if you will. Amongst the (inaudible) Northrop Grumman, BAE Systems and we are in the process of engaging (inaudible). There are a lot of opportunities that are very large opportunities in the fiscal year '15 and beyond and the scenarios. And each of them has a need for significant offload if you will. Beyond that in the nuclear sector, Alpha Omega Systems have been a customers that we have been working with over the course of the past year and a half and frankly over the past three to four months we have really, I think turned a [quarter] with them as far as performing and executing and we are really, frankly, doing a good job with them as a customer now and what we expect what will happen is that as we deliver our next set of cash that borders will start to free you and that will become more free flowing in the future and become basically production. Because, again, the past year-to-date, in months, it has been a couple of first orders that we have put out in those time periods. So a lot of good opportunities I believe as we move forward.
Unidentified Participant: And, Len, I have one follow up on that. Given the financial condition of the company at the moment and the transition, shall we say, that we are in. How would you say that somebody's large companies are viewing TechPrecision right now and what efforts have you done and taken to assure them of your viability.
Leonard Anthony: Well, number one, given the period we are in, where we were not really able to disclose anything because of the lack of filing of 10K, we were a bit hamstrung. We have had conversations with them about the company's situation leading up to this, because at the end of the day not a whole lot of change. Again , we said, we were previously in this mode of covenant waiver after covenant waiver after covenant wavier. It wasn’t good before, it's just now coming to a head and becoming a little bit more clear. My plan is going forward, now that we got this information out and frankly, it was our decision to push the information out as opposed to try to conclude at the banks. That sets us free to have to those meetings one on one and demonstrate to those key customers what our viability is. And I think it's part of our process, we will be working to put in place some interim bank arrangements that are more formalized that will give people confidence that we have got adequate time to get the company refinanced in a way that makes sense.
Unidentified Participant: Okay. And just so as to know, you haven’t lost any business in those financial conditions...?
Leonard Anthony: We have not lost any business and I wouldn’t expect us to either.
Operator: Our next question is a follow up question from Michael Potter of Monarch Capital. Please go ahead.
Michael Potter - Monarch Capital: Guess I am the lucky call to stay on the point. Len, I wanted to see if we can get an update, obviously we had several questions with regards to Mevion. But I want to touch upon [electric boat] a little bit more and Alpha Omega. With regards to Alpha Omega, have the received fissile approval yet that we are aware of?
Leonard Anthony: Not that we know of, Mike.
Michael Potter - Monarch Capital: Not that we know of....
Leonard Anthony: Unless Bob has gone to phone and has heard anything recently on that.
Bob Francis: No, I don’t have any update there.
Michael Potter - Monarch Capital: No update at all, because I guess the last update that I received four or five months ago, was that it was originally anticipated to be ending of spring and then it was pushed out for sometime during the summer and we are, I guess, towards the tail end of the summer currently.
Leonard Anthony: Yeah. Well, I think, as a matter of policy going forward, the management team of TechPrecision is going to stop trying to predict what customers may or may not do and giving deadlines on that. Just as observation Michael. We are hopeful that this happens soon but I don’t really want to comment on what we might think is going to happen.
Michael Potter - Monarch Capital: Okay. And then with regards to Electric Boat, that was a major cornerstone of our growth going forward for the company as well. And I guess we were tracking on the third quarter conference call, I believe, of about $7.5 million of offload work for Virginia Class sub. Where does that currently stand, where is our relationship with Electric Boat currently stand and have we received any further awards over the past four or five months?
Leonard Anthony: Hey, Bob, I will start with you.
Bob Francis: Sure. First of all, our relationship is still very solid. We are continuing the Virginia hatch program. So the different hatches that we deliver for them. I happened to be going down with our navy/maritime sector leader on Wednesday and I established a quarterly program of review of them so we could update ourselves in a very disciplined manner, if you will, going forward. And they have been very receptive for that. We have got about a couple of delivery issues over the course of the past year, but as I indicated earlier, we have also made some pretty good progress with our (inaudible) program and that also goes with the electric program. As far as orders go, we haven’t seen a significant number of orders over the past, the four of five months. We have seen a significant amount of ordering activity from them and also from Northrop Grumman has been very significant. The management team from Northrop Grumman came to visit us about three months ago. They seemed very pleased at our facility and also pleased with our performance over the course of the past couple of months and us. So a lot of activity with both but as quoting goes, not a lot of orders at the moment but certainly we are going to keep with them. And a lot of that has to do with their internal timing and ability to get funding and then process it through their own processes.
Michael Potter - Monarch Capital: Len, if I could just kind of, I guess, ask a general question. Our main growth drivers, if you will, in our business have not changed. That being Alpha Omega, Electric Boat and Mevion.
Leonard Anthony: Right.
Michael Potter - Monarch Capital: Those opportunities are as large today as they were six months or a year ago, it's not larger?
Leonard Anthony: That’s correct.
Michael Potter - Monarch Capital: And....
Leonard Anthony: The question is timing, as we kind of tried to explain before.
Michael Potter - Monarch Capital: Okay. Thanks, guys.
Leonard Anthony: Thank you very much for all of those of you who are still on the call. I want to thank you for your time and attention and your investment in TechPrecision and the continued opportunity to work for you. We will keep you updated as we progress with this redirection of TechPrecision. And as we indicated as soon we get ourselves through the first quarter numbers and get them released, we will have another call and update you further on all matters. Thank you very much.
Operator: Ladies and gentlemen, that concludes our conference for today. Thank you for your participation. You may now disconnect.